Janaína Storti: [Interpreted] Good morning everyone. I'm Janaína, I'm from relationship with the customers at Banco do Brasil. Our event is going to be conducted in Portuguese with simultaneous interpretation into English. You can choose 3 options of audio, Portuguese, English and original. And in order to start and in order to share our numbers here, we have our CEO, Tarciana. She's online from Berlin. And here in our studio, we have our CEO and our Vice President of Agribusiness and Family Agriculture, Gilson Bittencourt. In order to start, we have a very brief presentation of our results and numbers that we've recorded so that we will be back. We are now going to play the video.
Tarciana Gomes Medeiros: [Interpreted] Hello, everyone. It is a satisfaction to be here with all of you from Berlin. And in order to be here with you with more transparency and to show you our -- as we have highlighted on the opportunities, 2025, we have had some adjustments and also our strategy, we are going through this turbulence. It's very important to know that our resilience has been allowed for us to absorb our regulatory changes that brought to us very important alterations in the way we do the credit risk. In order to talk about this, we always have the opportunity to show the practice, the force and the strength of more than 120,000 employees in order to have all of these. So we've started 2025 with a very positive perspective. So we have had also a very typical scenario, so that we deep dive into some scenarios. We also had some static and operational opportunities that we have also shared with all of you. Even though with this adverse scenario, we also have our -- every business in order to be able to deal with delinquency in relevant regions. More than knowing these challenges, we also engaged the construction of a very structured solution and that we also had the addition of MP 1314 capacity to generate businesses and the net value. We've achieved BRL 26.4 billion. This is an example, which is our performance. Since our -- performance and our reliability considering this growth, we have the principal capital in 11.16% considering all of this. Our ambition is to reach 20% of the market participation, which is going to be pretty fair. And this credit has provided a very relevant change which is positively considering the credit and contributing for the credit and for the -- it's also important to talk about the resilience of our capital, which is 11.16% considering the level that we've judged for a very fair for Banco do Brasil, BRL 17.9 billion, which has been very important. This has been very important considering the delinquency, this elevation is very important considering soybean and corn. And also farmers who also adopted different opportunities. We also see some reflexes considering the agribusiness. This is also provided by them. They are also responding to this the MPs reached 10% considering the interest rate. If we do not take into this account, then delinquency would be 6%, even though in the third quarter, we have had different businesses that impacted all of these. On October 10, we also had this opportunity. We took decisions that were responsible and to have the correction of the production and decided, we advanced in technology innovation and specialized relationship. To offer the best experience, we shared with you Investor Day and other opportunities and we will continue to involve all of that with the clear objective to prepare Banco do Brasil to a new cycle of growth and generate value to shareholders. We will keep strong with those values that are Banco do Brasil base. Now I'll pass the floor to our team to dialogue with the market.
Janaína Storti: [Interpreted] Okay. So we return here. And first, I'll pass the floor to [indiscernible] to comment something about guidance and the first numbers of MP 1314.
Unknown Executive: [Interpreted] Good morning. Once more, I would like to thank the presence of all the analysts here on this meeting. The press they are watching. And I would like to say to you about our guidance that both reviewed line and to talk about how currently, we are renegotiating Agro on BB Regulariza Agro on the MP 1314. So when you look at our guidance, we brought to you 2 lines reviewed, the cost of the credit and adjust profit, last trimester when we talked that the guidance of profit were very bold of this year. And we reviewed and we brought to present to the market. So when we saw the first trimester, some issues appeared. And then I would like to share with you, we had a necessity to have a provision of BRL 1.3 billion for a specific case, the companies of retail. And it's important that we have an increase on RJ that -- with that we had the challenge to elevate provision. And at last, we got waiting compass of the produce provider, the addition and the [indiscernible] of the Law 1314. There was a process of [indiscernible] that took longer than we wait. So we started to operate 24 days ago. And that gave the necessity to have a higher provision. And by consequence, profit provision that's lower because of those predictions. So we adjust 2 lines, the cost of the credit. We are adjusting between BRL 59 billion an BRL 62 billion and that just profit between BRL 18 billion and BRL 21 billion. Talking about the Law in 13, 14 here, the bank, we have BB Regulariza Agro. And it's very important to show you how we are working after starting to operate to now. We have BRL 11.4 billion in loans currently on the analysis area. From that [indiscernible] are from supervised sources. It's important to mention that until now, we achieved BRL 5.4 billion in negotiation. Our slide is not updated. We just updated this number. We have BRL 5.4 million of approved operations. It's just like we predict. And our focus here is to have approximately BRL 24 billion of the total of proposals. So we are working to achieve it. We contact 75% of the clients. There are the constituency of the debt, and we have reinforced the producers that's the best way to negotiate. The Law 1314 brings the opportunity to regulamento the debt in 9 years. We are now analyzing and give deadlines according to the characteristics of the producer, the provisions of the operation and analyzing case by case. And it's interesting to mention that in this program, we are also keeping the insurance and try to find new ones. So it's very secure. And I believe that it's important to you to know what's the consequence of this regularization. So we have 33% on the Central West region focused on the corn and soil culture, followed by Southeast regions and South region, 21%. So what we are receiving of operation to control resource, 92% are on South region. Janaina, I pass the floor to you.
Janaína Storti: [Interpreted] [Operator Instructions] Renato is now here with us online, so I call him to make the first question.
Renato Meloni: [Interpreted] Thank you for this space. Because of the change with the guidance review and the application of the results, how that impacts the recovery that you mentioned, especially in agro for the next year? Is there any change? And inside agro, we saw that we had an increase on the first trimester and do not evolve accorded projection, so that's it.
Unknown Executive: [Interpreted] Well, Renato, thank you for your question. Good morning to you all. First of all, the compass of provision of the stage is similar to our expectation of evolution of BB Regulariza Agro. So you have a natural provision of those stages but the producers, they are trying to reach the bank to renegotiate. So it's very likely, very strong working to that. The Stage 2 operations would be regulated and you have that to the next stage. So nothing changed in the perspective of weighted loss and the perspective of solution that's imposed and we retrofit the model to have those evaluations. The good news is that regardless the renegotiation or not, those credits are provisioned according to its loss. And it's related to your question. We plan to bring this issue of the Law 1314. So this transition between the stage could happen on the way around. So we can benefit our flow of weighted loss. So operationally, renegotiation are very related. They're achieving [indiscernible] of daily expenses aligned of what we thought at first to reach BRL 24 billion. So the challenge is to execute that. So naturally those values could flow to protection of other portfolios or to accelerate our recovery. It's important to highlight that we are working strategically in 2 fronts. The first one, new operation, we trained -- so we prevent the necessity of provision. And on the second strategy, we are working with the producers that have the most critical cases to revert the risk. So it's important. We mentioned that we are working in a strategic way. So in 24 days, we achieved the speed of what we are waiting in 60 days. So the network is focused to work the reversion of that in agro. The trajectory of default of Agro, of course. We have that on the video. October was a month where default pressured a lot because of this waiting compass that we saw the producers for a structured solution, the -- we got that. The performance is showing that's very good. And our challenge is to trace. We have a very high ambition to regulate the full balance. So we intend to deliver that because on the fourth trimester is a lower flow, so it can engage and [indiscernible].
Janaína Storti: [Interpreted] Yes, exactly this matter of the deadline flow on the fourth trimester is lower. So we have a structured solution available and traced along wafer clients. So we hope that it will control the flow of the fourth trimester. So we have an inflection for the first trimester of 2026. Next question.
Tiago Binsfeld: So my question, I guess, is on the revised guidance. I understand the issues with the rural portfolio continue to impact results. But I guess first is how much confidence do you have in the new guidance? And then even looking at the implied range, right, we estimate between BRL 3 billion to BRL 6 billion in net income for 4Q. So it seems like things could still get worse from here. So I mean, just in terms of the visibility that you have in terms of the deterioration in the agribusiness portfolio and if you may need even additional provisions from here, how much comfort do you have in that? If you can just help us understand at least some when these things can stop deteriorating to some extent. I think you mentioned 1Q maybe get better, but help us think a little bit about 4Q, just given all the uncertainty there.
Marco Geovanne da Silva: Thank you, Tiago. Our confidence is very high. The reason we decided to change this guidance was because we saw these producers waiting for the implementation of this provisional measure, the 1314. And because of that, delinquency picked up. So one of the reasons we decided to revise it probably if we decided not to revise it, we would be delivering something close to the bottom of the range of the guidance we had on the Street. So we try to be more accurate in terms of how far these provision charges would go depending on how fast we are able to renegotiate with the producers, okay? So we believe -- we do believe we will be delivering something in line around the BRL 20 billion net profit for '24. So this would imply, how can I say, a good profit. And the reason why I decided to say in my -- in the videocast that I recorded that I wouldn't want to be firm saying that there will be an inflection point because we saw October numbers, but as Tarci mentioned here, we are speeding up the restructuring of those loans that are defaulted with our clients. So as long as we continue performing the number of the volume that you have just seen of restructuring loans in November and December, we are confident that we will be able to deliver this new guidance we're showing you, okay?
Tiago Binsfeld: Great. If I can maybe just follow up? Just thinking about 2026, a very, very high level, right? I mean, should things begin to inflect in 1Q and you should see improvement throughout 2026. Is that the best way to think about it?
Marco Geovanne da Silva: Yes. We will have the chance to discuss '26 when we disclose the full year numbers. But we are still working on our budget, but definitely, we're expecting for '26 a lower volume of provisions and moving towards something close to the mid-teens ROEs, okay? Of course, it will depend on how successful we are on restructuring these loans. We will probably continue this negotiation throughout January and February. But I'm certain that once we disclose the full year numbers in February, we will have a very keen estimate regarding the guidance for '26, but definitely, you should expect lower provisions for '26 considering this level of BRL 60 billion, we are already accounting for '25. It's important to remember that so far, we have already accounted BRL 60 billion of provisions in our P&L and in our equity book. and we are still delivering something close to BRL 20 billion of net profit. And this confirms the strength of Banco do Brasil on generating revenues to protect us from this extremely difficult situation in the agri book.
Janaína Storti: [Interpreted] Our next question from Marcelo Mizrahi from Bradesco.
Marcelo Mizrahi: [Interpreted] So first of all, I would like to congratulate you for the courage and transparent you're facing this hard moment with a lot of commitments. So we can't complain. So [indiscernible] I would like to congratulate you, not only Banco do Brasil has the best release. So the commitment is very good. So related to the question looking ahead, looking at this rich material that you put available, this harvest curve of credit, when you look at it, individual person MP, ME as the bank classifies, we saw the harvest of last year and this year. So I ask, when we look at some indicators of credit that were previous, the wallet 1590 from Agro has an expectation of -- so it caused my attention. So the harvest issue, I'm concerned. In each moment, you are seeing default of other segments. So the individual fiscal person were affected, has to do rural producer, but that's what it is. Those are the problems of the bank. We are talking with the people that are on agribusiness. So I'd like to know from you how you are seeing the default of other segments besides Agro, the 2/3 of the bank on this dynamic? So about peak of default in Agro in the first trimester. As I understood, I think we should have an improvement. So I would like you to talk about the default of the business people, the transparency of the governmental programs, we need to understand it and besides it, how to think the growth of the bank wallet? We have seen the wallet this trimester had a contraction. We have the credit card something to focus and it has a high default. So how to leave the situation that the bank are in and how do you -- you are dealing with it?
Unknown Executive: [Interpreted] Well, we've pushed about and addressed about the agribusiness. It is related to our capacity of our execution, the BB. As for individuals, one of the third of our client base as you've mentioned, we do have a very strong pack considering the products for individuals that we have the transition considering the agribusiness change. So this delinquency is related to what is coming from our farmers and producers, which is different from other harvests that is different. As you've mentioned about the market that has been approaching that delinquency is not only for farmers, it is also about the difficulty and the capacity of payment of products and producers as individuals. And the bank as it is in this productive chain, this is quite strong, and we do have this additional impact. So the harvest from '24 and '25, they are correlated to this performance, considering our customers, farmers and producers that represent not that much for the PS, but they represent 1/4 of the delinquency considering the PS client base and also considering credit card, as you've mentioned. And here, we also have a disclaimer that there is a constantly -- as you are aware of, and it is the lower documents our client base and the interest rate or the number of installments considering the operations of credit cards are -- they are all very low. So we have this timeline and also the capacity from farmers, so we also have the delinquency considering credit card. The good news is that in this specific case, delinquency, we have been controlling and we are taking some measurements, very restrictive measurements in order to reduce the risk of this client base. Even though considering this situation, we are very low considering the average delinquency considering the financial market. So it's important to have this considering the client base and also having very inferior delinquency [indiscernible] and the market due to this characteristic of our client base. So having this migration considering legal and corporations, we have government programs. And it's important to be able to tell about this differentiation because the bank has a very strong role if legal. So we have had a recent period, and we don't have this concentration considering these due dates. So we also have the payments in the harvest. So the guarantee client base, it is in such a rhythm that is quite normal in order to have this processing. And we also have this in order to be able to fulfill all of this. And even though we have this delinquency and even considering the '24 harvest, the adjustment was quite strong, considering all the models. And we have a very clear redirection and for the receivables. So with that, naturally, we will be able to have a better result for this portfolio and finding out what we see as a clearer result considering this. And perhaps this is not very strong right now and considering the harvest that you are seeing now. But when we take into consideration the short harvest is and the performance is just giant. So we have this very short delinquency that is less than short. So this takes a little bit of time, but we are truly confident considering this. So we have delivered this very confidently in this portfolio. So this is what you can expect from now on, given the quality and the origination of all of this. So when you see the legal and corporations, this has got a very good impact. And this is absolutely provisioned.
Janaína Storti: [Interpreted] Have we answered all the questions, yes. So it was a very specific question about legal corporations. Okay.
Unknown Executive: [Interpreted] Yes, correct. Probably, we could also take into consideration the next harvest, as [indiscernible] he's here with us, is our pretty new Vice President and it's really important to share this information. Most part of the delinquency comes from the cost of this harvest, which foray into '25. And as we are being very rigid, but we are also very attentive, not only being very -- only attentive, but being very effective to this. This also reflects considering the results of the rates and our expectation for the next year also, we do have the growth considering April to September, we will have a result considering this whole work that we have had, considering the credit analysis and using our methodology of credit analysis, not only about the hurry process, but also very structured and also the farmers who have a very tough pay bill benefit. But it's pretty robust, and it's important to take this into consideration. The BRL 4.3 billion, so all the producers and farmers who were suffering considering the difficulty of cash flow and also these 2 actions, whether it's the new operation or this new program. We have this expectation for 2026. We will have this pretty low and it's going to be even better.
Janaína Storti: [Interpreted] Thank you so much. Okay. So our next question.
Unknown Analyst: [Interpreted] The capital topic, as we saw. I would like to understand what you're seeing ahead? The 80% thinking about growing the wallet don't grow so much. And you recently reduced your payout to 30%. So how do you look ahead the capacity to keep payout next year?
Unknown Executive: Mario, thanks so much for your question. Our commitment is with the sustainability of the results of the Banco do Brasil. So considering, we think that's good, we improved and revert this flow and bring our main capital over Level 11. So it's a great one. So have a radar next year, one of them at the end of CGPL, renegotiation program of the small business, so which will reduce 6% base data of debt. So everything that's happening with the reduction of the recurrent results. What's happened in the Agro that reduced the growth of the capital in organic way. So we will keep 30% of payout for next year. And of course, depending how much we can renegotiate it and reinforce on capital, we'll evaluate the possibility to return with the results that we consider that's what Banco do Brasil deliverers. We can talk about the extraordinary payments of debt. So for now, that's our policy, 30% of payout. So next year, we have severity on the capital that's come from the provision for BRL 966 million. So we'll consider that and we have another potential adjustments that will come. So we have -- we are being very conservative, being sure that capital-based fundamental to support the growth of the wallet. So next year, we will still grow the natural personal wallet loan, public loans and the work loans where we are vice leaders, we are going to bring more recurrent results. And just to mention, 6 bps micro small business program, 25 bps from the second phase and we returned 1 bp from hybrids in July's counting. The impacts that we got on the trimesters, we have 4 bps ahead, so always in July, and we had operational risk faced in 4 years, 10 bps per year. So around 100 bps impacting next year. Just reminding, and Mario, it's not clear to everyone. It's important to clarify that each renegotiated real based on the Law 1314 the same now on the main capital basis is the same effects of CGP so we neutralize those impacts. Currently, we have 7, 8 bp of CGP. So it's on the ambition that we got. So we will overcome, auto has less capital.
Janaína Storti: [Interpreted] So I'll call next question that comes from Daniel Vaz from Safra.
Daniel Vaz: [Interpreted] I like to focus on Agro, talking about the growth of the wallet, but if you broke [indiscernible] and the original dropped 12%. So it seems that even you have this control, the renegotiation program now by the law and the 4B of the NDS, I think that's the [indiscernible] wallet. It's on a level that we saw in the latest year. So it's a reflection of the capacity of payment of the producer. So the due dates that they got the wallet progression, we have a decrease of the concentrate default. So it's 8%. Naturally, this was classified in Stage 1. So it got worse consented. So we transferred to Stage 3 of the next trimesters. So I'd like to hear from you how do you look for the help of this [indiscernible] wallet? And imagine, the first trimester, if you are able somehow to talk about this wallet and saying that's going to warm up, if you're comfortable or not with this -- I'm sorry, if it's going to cool up, this wallet.
Unknown Executive: [Interpreted] Thank you for your question. So it's a very good point. This extended wallet when we didn't have solution for this segment. So what we are going to do? We are going to work on this wallet to be transferred to a line to the rural producer. So this portfolio will flow for renegotiated. It will keep the risk of it will be reduced because it's going to be related to the capital payment of the producers. So we are not comfortable with that. We have a portfolio that's elevated, and we need to work with it. And the big difference is that now we have a solution, an adequate solution to offer to our clients. So we can adequate this operation along with recovery of the capacity of payment for rural producers. So to be objective we hope to have a solution that's more effective, including to deal with the balances that are inside of this portfolio. So about perspective. So Daniel this portfolio is the most default one but the central point for renegotiation is this audience that was having the debt with the bank because of price problems and did that for 2 years via MP 1314 and understand the situation. When you're going to charge only the interest rate, the expectations to put due dates on this point. So this producer can restructure its payment flow. So it will restructure and reduce the full important factor. Even we have a decrease of high of the Safra plan, our expectation related to Agro portfolio is to keep on this rate of 400B. How we are going to do that part of this decrease that are happening on the new contracts are going to be done on the law. So around BRL 20 billion, BRL 24 billion, our expectation related to the fees, so it's BRL 28 billion. So part of what we are not hiring in Safra, we are keeping. So it's near 400, a little bit down or up. So what tends to ensure profit on this portfolio.
Unknown Analyst: [Interpreted] If I can make a follow-on on this question. Do you think that this program of BRL 24 billion, you're going to ask for more line for the government thinks that the probated BRL 60 billion, the focus is inside this pool? Two parts, these free resources don't have a limit. So how much each institution are available to do it?
Unknown Executive: [Interpreted] So we are dealing BRL 24 billion as a target. But if you have a space to extend it, there is no restriction. If we had more producers and you can help them to structure the payment flow, we are doing. So regarding the controlled flow BRL 12 billion, BRL 4.3 billion, we are working on a perspective that's very interesting. Starting on the state that's the most difficult one that [indiscernible] have BRL 4 billion, we are only being questioned about it. We are monitoring if we achieve BRL 4.3 billion, so we are going to talk with your peers. So for now BRL 4.3 billion, it's what we have from deman.
Janaína Storti: [Interpreted] Our next question from [indiscernible].
Unknown Analyst: [Interpreted] Thank you for the partnership. I would like to understand 1314 and the first quarter. I would like to know about the [indiscernible] average payment term considering that because that has to be adequated and negotiation is key, but what is the measurement considering that because we need to increase this to 2, 5 or 10 years. I would like to understand to what extent is this going to be taken? If you could please just talk me through this. How does it work? Because this is in Stage 2 or 3? And how is it going to be just like this provision. And also the interest rate, how does the interest rate work on this matter? I'd like to understand a little bit better from this. And also the agribusiness, as you've mentioned on a podcast that you had a discount and negotiation. So it is clear, but what is not very clear for me is that in the fourth quarter it is different, and it's the same level considering the third quarter. But the message that you were conveying you're having this disbursement and everything might be very clear to BRL 3 million to BRL 4 million, and I would like to know more about this and the government? So why having this pretty high provision? Could you please talk me through this?
Unknown Executive: [Interpreted] Thank you very much for your question. Well, first, we don't have any overall solution. Every case is taken into consideration. We have a technical body that takes assessments considering our customers, and we are just leveraging all these assets, considering artificial intelligence and all the modeling. And we try and we identified a real need of farmers. And these assessment is that from order to our credit team that assess the need of the due date, the period of time and the flow -- and the cash flow considering the capacity of farmers. So there is nothing single. So we need to have a technical analysis and we then find a need considering the farming in order to have a negotiation with all of us. So that we take into consideration the current measurement and also the risk management in short and long term. We did call like this structure the realization in order to have sustainable solution in the long term. Even though you've seen this provisioning process and what is being expected effectively. So we measure the risk regardless why this is being materialized or not. So then our balance is going to be quite ready considering the sustainability -- future sustainability. So then it's also about the stage. So that's why we don't have an immediate effect considering the flow or the balance that is expected because we conduct the assessment, the hiring is -- we have a 50% of operations renegotiated. That is we have the value and we have the adjustments, we have our framework considering the credit management and risk and considering the hiring. So then -- we then take into consideration the producer and also the opportunities for the banking in a long and short term. So the producers will have this payment term. We will have the possibility to keep operating with them and being able to have the best businesses. So that's why you see places that you don't have this expectation of this reversion. So our focus here is to contain this delinquency flow. And also, we are able to deal with this in conservatorship we reevaluate the configuration of these customers. So each one of these phases. And eventually, we see that the producer is then clear. We naturally just have a reclassification in each and every stage, but that is according to a very rigid evaluation and assessment. So once the risk is solved considering the agribusiness activity, so then we don't have this process that is needed considering this reversal of provision. But what can also happen considering this faster that speed that produces considering the capacity of their payment. If they are in this stage #3, we then have this reclassification, that is because of the renegotiation, so then these operations will then irrigate our financial margin, but this is according to a very conservative analysis and having as the focus of the offer legalization in the long term. And he will be able to provide more information about it. So 2 very important aspects is that in an year, we have the interest rate. So for the next year, we will have the return of these farmers. And even considering their capacity of effective payment, it's not that it's only 1 year period of time, but the second aspect that is important to highlight is that it's not only any demand that we are including this renegotiation. We are dealing with this criteria. The timelines are every 9 years. So considering the payment capacity, we are not having viability. So this is the criteria. And we are prioritizing the farmers who have delinquency -- short delinquency. So we are just taking those who will be able to have an individual analysis, having a better capacity considering this flow. So it's not that we are only going to renegotiate anyhow, but we have the timeline. We have 6 or 9 years. So each and every situation is being taken into consideration, considering the recovery and the generation of cash flow. So these are very critical. Look, it's important to be taken into consideration 5.5% that were approved, almost 100% is going to be feasible. So 100% is going to be formalized considering this. So we also have 11.4 bps and this is not going to be taken aside, but we also have the support demand, but they haven't been analyzed. So these [indiscernible] that we just analyzed that we had. So we are showing this data, 5.4 is practically effective. So once we have these rules restricted, and we have everything proper, we have the numbers. And so then the process is going to be somewhat slow due to these requirements and the numbers they are lower, but everything is being taken into consideration, not to happen or what you've mentioned about the delinquency. This is not our responsibility.
Janaína Storti: [Interpreted] So next question from [indiscernible] from XP.
Unknown Analyst: [Interpreted] We talked about Agro. So it's important to talk about the natural person segment. When you look to the excel that you published from 2014 from now on, we have the highest default of the series. I would like you to comment that and when you look to the portfolio growth in agro and legal entities, we have decreasing on the portfolio and natural personnel. So I'd like to understand the exception of tax income next year, what kind of comfort could you give that to this moment of the default of those in 2026?
Marco Geovanne da Silva: [Interpreted] Good question. And it's important for you to look at the [indiscernible] as a point -- just a point thing is we grow in credit card in terms of volume and increase of default of credit card, and we have a contended effect coming from nonnatural person field from Agro. So they're waiting contacts work for everything. So those negotiations are happening. So naturally, we are resolving this matter. Looking at '26, our bet since we started to see this risk severity of the rural portfolio, we needed to focus on those lines that brought more return and spread, adjusted by risk. That's what we did. So it's very good growth of natural personal portfolio. The trend is to keep growing. We have minimum wage adjustments and availability that's higher. So we have an opportunity to grow on the lower risk level and the laws of the workforce. So BRL 11 billion, and we have BRL 11 billion now available. So we have a big space to keep growing. Bringing more return to the bank to help us to go through this phase, delivering results to our shareholders. And we have a possibility that's important, we are segmenting inside our credit card strategy that the high income where we got more results. So this default we consider as normal and simple. So we bet that '26, I'm sure it's going to be a natural personal portfolio.
Janaína Storti: [Interpreted] So thank you, Geovanne. It's important to reinforce that this growth of this portfolio happened because of the workers law. That's the line of credit that Bank do Brasil has 90% of the structure on this line. So it's important to understand there's still space for growth on this workforce credit line will have a share of 20%. That's a share that we understand that's more adequated to Banco do Brasil. And on the other hand, on the third trimester, there seasonality of default natural personal portfolio. That's a historical series. This Agro issue that Geovanne mentioned is punctual in default this month, we have November and December, receiving the third payment ex Agro is -- will be regular on this next 3. Our next question comes from [indiscernible].
Unknown Analyst: [Interpreted] Once more congratulations. Talking about the Agro issue, it was bad, it was good and latest years were very good and now is passing through an adjustment that's very strong. If you take the historical series of view, 5.3% of default for the segment. We never saw it. So maybe it's not 0.5%, but 5.3%, it's a very high number. I would like to hear from you the change that you are implementing, a structural change to have something more predictable, sustainable on the next cycles, if you could explore this point in terms of warrants, equalization and the RJ things, how we are going to promote it to have a sustainable product?
Marco Geovanne da Silva: [Interpreted] Thank you for your question. I will start and then pass to Prince. You talked -- you mentioned very well, historical, we never faced a situation like this one. Last time we faced it, even like this on the Agri sector, it was necessary to have a capitalization in 1994. And what we are doing now at this moment, we are passing through the severe scenario for this portfolio and we learned a lesson. We are partners of agribusiness. And it was important to review some of our practices. And the first one as [indiscernible] mentioned, the new hiring contracts is the matter of fiduciary transfer. The new titles that enter because of the agribusiness increase, they adapt in its systems, bringing this new warrant modality but Banco do Brasil is still on the traditional model based on harvest. So it was very clear for us to change very quickly. And one of the effects that we are facing this moment, it's a little bit of the reduction of the release of the new harvest because the process got feedback from our clients. And we have that explained to turn that in a more safe environment, so we can understand the farmers. They are understanding we depend on the -- when you register this fiduciary transfer. And at the same time, we are still having results with it. So we're looking at 2026. We are going to have a soft process. So if you can add something else?
Unknown Executive: So first, the issue of the origin, as Geovanne mentioned, we have this practice of the field origin -- to know our clients to understand the productive capacity and the generation of income. Parallel to that point that we observe, your relation with clients from lazy clients. So we are very proud. Some adjustments in process were -- the cost of production. Other point, we are investing on the follow-up. So to identify the risks in a preventive way. So it's leveraged by new technologies. So we are connecting our historical basis of performance of agribusiness. I talked to you about it. We have cataloged that since 1960s. So with new resources via reference and evaluation with AI, so can identify the deviation of productivity, risks from the climate. So with that, we can manage productivity of our clients foreseeing if they can have a difficulty of payments in the future, presenting previous solutions to reduce the risks on this business. So we are also investing very hard on the post production following. We have a default related to commercialization, mainly in periods where doing commercialization, there is a depression of prices. Just like the previous harvest, so we need to be very aware of the stocks that we have as warrant so we can converge in incomes and these incomes will go to the bank for payments for operations. And we keep going on the process of negotiation. The bank shows its historical partnership with rural producer, launch BB Regulariza Agro, that's a solution that don't access on the market. So the big solution of the negotiation of the rural producer, it's available in our support channels through BB Regulariza Agro. And eventually, those cases where many times, we don't have even the negotiation itself. It's a goal for the court. And so we are defending our interest in because we believe that it brings an interruption of the relation and difficulty of the activity of the producer. But are still here very strict, defending our interesting. And next trimester, you're going to observe that we should protocol some requirements of bankruptcy exactly so we can stabilize those process and the ones that try to contract this mechanism in a legitimate way.
Janaína Storti: [Interpreted] Next question, Pedro Leduc from Itau.
Pedro Leduc: [Interpreted] Changing the topic about MII, 5% of increasing 3% to 3%, the components were more than 20% by part of the treasury, the clients who didn't grow so much. PVMs in a higher Selic, more work days. And on the client part via mix spreads. I would like to -- you to comment how we should see this MII line consolidated behavior for next year because we have a derisk on the natural person portfolio, so it should permit decrease and delinquency situation with Selic decreasing pressure on the treasury part? Just to understand how we are configurating the MII trajectory, seeing the portfolio for 2023.
Marco Geovanne da Silva: [Interpreted] Thank you for your question, Leduc. We are aware. So we are expecting the cohort of interesting rates. So we don't believe that such a drastic reduction like the increase, and it came from a capture. We have an exposition of LCM. On the short term, the Selic drops down, in a certain way is going to facilitate and this gain of this match between pre and post capture of portfolio on this moment. So that's why it's important to accelerate this generation. We are generating volumes on the spread level that's higher. So to protect when the spread drops with the decrease of the interest rates. On the other hand, it's a good environment for economy. And a possibility for it to expand this volume of credit, the volumetry will be important to help to support this financial margin. In terms of treasury, we took advantage of this moment of high Selic. Our delinquency were very high. So I call the change of the mix, focus of the lines of work and those are fundamental to support this maintenance.
Janaína Storti: [Interpreted] Our next question comes from Carlos.
Unknown Analyst: We'll try English. So also to change the subject. Can you discuss the tax rate, which was very low, it was negative this quarter? So for the year, you have paid 9%, obviously, the profitability is low and you have interest on capital. But what do you expect for this year and for next year? And next, I would like to also have your comment about how much longer you will have the economic plans provisions?
Marco Geovanne da Silva: Thank you, Carlos. Definitely, the reason for this low tax rate has to do with the increase in provision charges we accounted. So our profit before taxes was very low due to these incurred losses we have accounted. And for this reason, we had to recognize a much higher volume of tax credits -- deferred tax assets. And that's why our tax rate dropped significantly, showing revenue in that particular line. So we used to estimate an average tax rate around 15%. With this new regulation regarding expected losses and given the scenario we have for the agri book, you should expect to see a different tax ratio looking forward. So we don't have an estimate right now, but definitely, as long as we continue accounting higher incurred provision -- incurred losses, we would have this benefit in our tax ratio because the framework has changed completely with this new regulation for 966, okay? So looking forward, you should expect a lower tax ratio. And the second question regarding the economic plans, it's important to emphasize here that there was a recent ruling from the Supreme Court, extending the time for clients to negotiate with banks, all banks, not only Banco do Brasil regarding the economic plans. And there is a due date. So for the next 2 years, all clients must negotiate with the banks. And we believe that with this new ruling from the Supreme Court, we have a final due date that will happen within 2 years to end -- to cease this kind of provisions that we account for economic plans.
Unknown Analyst: So that is June 2027, I think?
Marco Geovanne da Silva: It will be '27. It was negotiated in '25. So we have -- and this negotiation was done through the federation of banks because this is something that reaches all banks, okay? It will happen '26 up to '27. That's when we have the final due date for all clients that were, how can I say, impacted by the economic plans can negotiate with banks the return of their money, okay?
Unknown Analyst: But again, it is until the middle of '27 and you expect this level of provisions all the way there? Or should it fall off until then?
Marco Geovanne da Silva: Well, in terms of provisioning, we don't know exactly because many clients they have already died. It's something that we're trying to figure out what is the size of these provisions. We have already reinforced some volumes, but you should expect keeping up this track in terms of provision charges. We don't expect a huge increase in that volume, okay?
Janaína Storti: And Carlos, for this year, the effective tax rate should be on a low single digit, okay? [Interpreted] Our next question comes from Gustavo Schroden.
Gustavo Schroden: [Interpreted] I would like to get into the question that information about that there is a limit considering renegotiation and I truly understand the funding for this negotiation, the outcome. They are really for the improvement of the capital index considering the KPA that you have mentioned for every real that you have negotiated, you then have an improvement, considering for instance, BRL 1 in the capital. I understand that there is a limitation that they would be available and we had [indiscernible] that could be used for this program considering these provisions. So I just would like to know and confirm whether this is correct? If there is any limit considering this improvement of capital via BTAs because it's probably -- it is required to have a funding and it's important to have this relief considering this bank capital. And the second question, when -- how would be this sentiment considering the [indiscernible] RJ and above 90 days, but I truly believe that there is a different agreement considering credits and the program of the renegotiation, I would like to understand whether these credits -- whether this RJ -- whether this can be renegotiated and how would this be transitioned? How would this be -- or whether this if it is not contemplated, and I would like to know, considering the potential losses?
Unknown Executive: [Interpreted] Thank you for your question. You understood well. We have close to BRL 24 billion that we can renegotiate. And we will generate capital benefits because of -- should be the tax credit stock that we can use. It optimized the funding that also repassed in conditions to the clients. But as Bittencourt mentioned, there's no limit. This funding, it's under the bank. And obviously, we are going to put in your measures of financial cost, the possibility of this funding to be able to overcome this balance. So the balance could be passed. There is no limitation. What we have is the limitation of our balance of -- take that renegotiation to transform it in capital. That's it. And we are prepared to have conditions, competitive conditions to offer to our clients, doing all our RLM management, so we can offer beyond BRL 24 billion as we commented at the beginning is our first target, but not only the last one. So related to judicial recovery, we have a limitation. It's not something mandatory for us to do this renegotiation inside the process of judicial recovery. So what we guide our producers is that to get in context so we can negotiate and make them to leave the judicial prosecution and then they can adhere to the conditions of the law. We are not offering to problematic loans. We are offering to the producers that want to have payment capacity and sustainability of their activity on long term. So Bittencourt, if you can complementary topics.
Gilson Bittencourt: [Interpreted] We have cases of producers that have in judicial prosecution, how they can leave that and renegotiation inside the bank. Those are specific case. This gain of capital is for the free resources. Controlled resources not be applied. Related to it, the monetary Board established, you just can use their own resources of the bank, but there is an expectation on the next days. We will have RCA resources so to extend the resource and a lower resource. And one aspect from the free resources, 30% of those operations that were approved are post fixed fees. It's not common rural credit, but a partner of rural producer of the bank put this opportunity. So we can contract with a prefixed fee or viable one linked to CDI. So this BRL 35.4 billion are for this model. So we can control that in a more effective way, and it shows to the producer that this expectation of the reduction of Selic fee will give to the producer contributing. So then can have a capacity of payments on the next year. So we are working on a long-term overview of a partnership.
Unknown Executive: [Interpreted] And just to finish, Today, this portfolio has 75% of central provisions, very adequate to the loss estimates that we had. So those producers in RJ that are willing to negotiating with us, we have an open door to adhere to the new provisional measure. Remembering that we had a big elevation of RJ going to BRL 6.6 billion trimester. And the guidance review was this one, had an increase. So just to it was 1B 20, 1B 300. So we are building this coverage level because of the risk and the time that those operations to be defined and decided. To conclude, those operation, their recent judicial recovery, they don't have a plan -- approved plan. So they go to a default. And the weighted loss is very high. So we make an additional provision as a prevention. Follow-up. We are in the middle of November. We have an indication to show how the number of judicial recovery are and how it's going to be. It's still increasing, but we are expecting a calling because of the availability of the law. So we are investing on negotiation, and we talk with the market, not different on other banks because with this solution, we have a powerful tool to offer to our clients so we can solve the business, the commercial negotiable way.
Janaína Storti: [Interpreted] So going to the end of our live our last question from Nicolas Riva from Bank of America.
Nicolas Riva: I have a question on your presence in the international bond market. So in October, you called the last AT1 that you had in the global market. So -- but you still have a number of senior bonds outstanding maturities in the next few years. So I wanted to ask you about your plans to keep a presence or not in the international bond market and your plans regarding the refinancing of the senior bonds?
Marco Geovanne da Silva: Thanks, Nicolas. We do plan to continue touching the international markets. The reason for calling the AT1 is because we have now a new kind of funding here domestically that is cheaper. So that's the reason we decided just to reduce our interest costs in terms of our funding, okay? But we do aim at continuing this relationship, especially in the senior front, but for now, we don't see any new issuance happening, okay?
Janaína Storti: [Interpreted] Well, so we finish here a Q&A session. In September of this year, we had our Investor Day. It happened in New York. And it was a reinforce of our commitment with transparency. And here, to reinforce even more commitment and to get close to the capital markets, we have this live with APIMEC and I have here with me, Ms. Lucy Sousa, the President of APIMEC that is going to deliver the seal of conformity. Lucy?
Lucy Sousa: [Interpreted] Vice President, Director, [indiscernible] professional, my colleagues, analysts, investors, it's with a great satisfaction that APIMEC delivered this award seal 31 years of recurrent meetings in the hybrid or online format. We highlighted during this period of transparency, the contingency of information and the partnership and the support of our association and the analysts and the other professionals of investments. Congratulations to you.
Tarciana Gomes Medeiros: Thank you. It's an award for attendance, it's an APIMEC award, 31 years in which we have our meetings, and I believe the important work of APIMEC. So thank you to your team that makes APIMEC such an important association in the capital market. It's a spectacular work. Thank you, and I'm very proud to receive this award.
Janaína Storti: [Interpreted] Thank you, Tarciana. We show a lot of success in copying the lane and all the professionals of Banco do Brasil shareholders. Thank you. Thank you, guys. So we conclude our live, and I'm available, the team's available to enclose additional clarification and see you soon. Thank you, guys. Thank you. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]